Operator: Good morning, ladies and gentlemen, and welcome to Siemens Healthineers Conference Call. As a reminder, this conference is being recorded. Before we begin, I would like to draw your attention to the safe harbor statement on Page 2 of the Siemens Healthineers presentation. This conference call may include forward-looking statements. These statements are based on the company's current expectations and certain assumptions and are, therefore, subject to certain risks and uncertainties. At this time, I would like to turn the call over to your host today, Mr. Marc Koebernick, Head of Investor Relations. Please go ahead, sir.
Marc Koebernick: Thank you, operator. Good morning, and welcome to our first quarter earnings call. I'd like to thank each of you for joining us today. At 7:00 a.m. this morning, we published our Q1 2025 results. All the related material for today's results release is available on the IR section of the Siemens Healthineers web page. In a moment, we'll hear directly from our CEO, Bernd Montag; and our CFO, Jochen Schmitz, and their presentation. After it, we will have a Q&A session. [Operator Instructions] Additionally, please note that a full transcript and recording of today's call will be made and also made available on our Investor Relations web page shortly after the session ends. Again, thank you for being here. And now I'll turn it over to Bernd Montag.
Bernd Montag: Thank you, Marc. Dear analysts and investors, welcome to our Q1 earnings call. Great that you can join us. We have made a successful start into the new fiscal year. In Q1, we grew by nearly 6%, well within our full year guidance range. Adjusted earnings per share also grew driven by top line growth and margin expansion. In addition, we had a very good order intake quarter again. We achieved an excellent equipment book-to-bill of 1.21, which was driven by equipment book-to-bills above one across all businesses and markets. This broad-based order intake was driven by value partnerships and large deals as well as transactional business. Our Imaging segment started strongly in the new fiscal year. With 8% revenue growth, the Imaging margin was held back by special items in Q1, but was strong on an underlying basis. Jochen will later provide some additional color on these more temporary effects. Advanced Therapies started in similar vein with good growth and some quarterly volatility in the margin. At Varian, we are proud of how the combination of Varian and Siemens Healthineers continues to bear fruit with very good growth and the margin continuing to expand to above 17% in Q1. And we are also proud that the transformation of the Diagnostics segment continues to progress, achieving a margin of 8% in Q1. And last but certainly not least, our cash performance was extremely strong with free cash flow more than tripling compared to Q1 last year. Hence, with this quarter in the books, we confirm our outlook for fiscal year 2025. And I hand it over to Jochen.
Jochen Schmitz: Thank you, Bernd, and a warm welcome from my side as well. We started with very strong top line numbers across the board in fiscal year 2025. All businesses and regions contributed to the excellent equipment book-to-bill ratio in Q1. And all business and nearly all regions contributed to the strong revenue growth of almost 6% in Q1 against tough comps. In China, the dynamic is unchanged. Orders and revenue in absolute terms are on a stable but low level. Q1 came in as expected, in line with our assumptions for our fiscal year outlook. In terms of revenue growth contribution, the U.S. stood obviously out with 14%. Strong growth in the revenue line also dropped through to earnings. Adjusted EBIT grew 11% year-over-year, driven by revenue growth and margin expansion. In adjusted EPS, earnings growth was held back by the year-over-year development in financial income and in the tax rate as expected, because both line items had tough comps in the prior year quarter. In financial income, for example, last year's Q1 included a positive valuation effect from an investment in a listed company. Both line items are on track for what we assumed for the full fiscal year 2025. Another KPI where we successfully started the new fiscal year was obviously cash. Free cash flow more than tripled year-over-year, as Bernd mentioned, increasing to €810 million from €238 million in the prior year quarter. This resulted in a cash conversion rate of 0.9% in Q1, driven by improved operating working capital, notably in contract assets and receivables. This strong cash generation is based on operational improvement in all segments. Imaging, Varian and Advanced Therapies, all achieved cash conversion rates of about one or even above. And while we keep the focus on improving cash flow in the coming quarters, for Q2, please bear in mind that we expect a dividend payout of over €1 billion, impacting cash flow from financing activities in Q2. Let's turn to growth and EBIT development of the segments. Imaging had a strong start to the fiscal year with 8% comparable revenue growth. We saw underlying conversion from the strong growth, which was only held back by special items in Q1. Hence, operationally, Imaging had a strong start to the fiscal year. Computed Tomography and Molecular Imaging were highlights in terms of contribution to growth. Growth in Molecular Imaging was fueled by our U.S.-based PETNET business, where we manufacture and distribute tracers, for example, for theranostics and Alzheimer's diagnosis. And we strengthened the European footprint of the PETNET business by an acquisition from Novartis, a transaction that we successfully closed in Q1. We are very happy to have closed the deal in such an attractive growth field for us. Bernd will later add more color on this. A short technical remark for comparability reasons, the acquired revenue will be excluded as usual from the comparable growth rate calculation for the next 12 months. The adjusted EBIT margin in Imaging came in at 18.7%, held back by special items that negatively impacted Q1. The most material item was the valuation impact related to spare parts inventory. In addition, several provisions also impacted the Q1 margin. These items were predominantly periodic. They had a negative impact of roughly 100 basis points in Q1. These special items were also the reason we guided carefully for Q1 Imaging margin. Now let's look at Varian and Advanced Therapies on the next slide. Varian also started the fiscal year strongly with revenue growth of 6.2%, continuing steady growth momentum from last year. It is great to see that Varian is already on the margin level of last Q4, which is seasonally the strongest margin quarter of the year. Advanced Therapies started the year with a solid comparable revenue growth of 5%. The year-over-year adjusted EBIT margins were slightly muted due to a less favorable business mix. As always, with mix effects in a single quarter, this flattens out in the course of the year. All in all, Advanced Therapies had a solid start to the new fiscal year. Over to Diagnostics, where we are well on track with the transformation. As Bernd mentioned earlier, we are very happy with what we see. The transformation of the Diagnostics business continues to deliver the expected results. In terms of profitability, it shows the expected margin improvement to a very good 7.8% in Q1, driven by further operational progress, while revenue continues to grow. Please also bear in mind that there were no antigen revenues this quarter, nor in the prior year quarter. Therefore, Q1 was a clean growth quarter in Diagnostics. The 2% again, had no impact from antigen. Let me bring up the same graph on the quarterly revenue and margin development that we showed for the first time in Q4, extended into the Q1 fiscal year 2025. As you can see, last year, we increased revenue and margins every quarter, and we continue to do so also in Q1 of this fiscal year. This shows very clearly our value-creating strategy of compounding revenue at expanding margins in a very resilient manner. We grow our revenue steadily based on underlying procedure growth and share gains in our attractive markets, thanks to our innovation-leading products and solutions and our strong commercial execution and service business. With this growth, we leverage our scale and expand margins. In addition, the success of our transformation program Diagnostics provides another source of value creation in a very attractive business field. As said, this graph shows the revenue and margin development by quarters. Of course, the basis for this is our outlook for fiscal year 2025. Our outlook excludes charges from legal, tax and regulatory issues and other framework conditions when they are unknown at the point of outlook. This means the underlying assumption for this fiscal year's outlook did not include additional tariffs. Let me add how we assume the current tariff situation to impact the remainder of the fiscal year. First of all, we expect only minor impact from the U.S. tariffs on imports from Mexico, if they are imposed in a month's time. The U.S. tariffs on Canada and Chinese imports are even less of an impact for us. So all in all, we expect these headwinds to be rather limited and manageable. At the same time, we expect a tailwind on adjusted EPS from a strengthening U.S. dollar. This means that we expect the headwind from the aforementioned U.S. tariffs and the tailwind from foreign exchange to be more or less a wash for our adjusted EPS in fiscal year 2025. Just a technical note, on margin, we will see less tailwind from the foreign exchange due to our rolling hedging approach. However, since we expect the impact from U.S. tariffs for Mexico, Canada and China to be rather limited for us, the quarterly revenue and margin development indicated on this slide remains fundamentally intact. Also for Q2, we see our fundamentals intact. We expect growth to continue in Q2 in terms of growth intensity. After our Q1 growth in the upper half of our guidance range for the fiscal year, it would be fair to assume Q2 growth to be around the lower end of the 5% to 6% range. That means around 5%. For Imaging, growth in Q2 will be more in line with our assumption for the full fiscal year. That means at mid-single digits after the strong start in Q1 with 8%. For Varian, which started in Q1 below its assumed growth trajectory for the full fiscal year, it would be fair to assume that Q2 revenue will be more in the higher single digits. On the margin side in Q2, it's best to assume the adjusted EBIT margin expansion year-over-year in Imaging and Varian as per the respective assumptions for the full year. This means in Imaging, low to mid-double-digit basis points margin expansion, and in Varian between 50 and 150 basis points margin expansion. We expect in Diagnostics, the same dynamics in Q2 or comparable dynamics in Q2 as in Q1. Lastly, let me add that our assumptions on China revenue for the group is unchanged for fiscal year 2025. Q1 revenue in China came in as expected, and we continue to assume that China revenue in the first half will decline by mid-single-digit to high single-digit percentage points, and revenue in the second half will be flattish year-over-year. And with this, I hand it back to Bernd.
Bernd Montag: Yes. Thanks, Jochen. We had a great RSNA, which is the world's most important gathering for the radiology community, at the beginning of December. We came as innovation and market leader and further widened the gap to our competition. We demonstrated how we innovate continuously for better diagnosis and treatment, how we improve and automate workflows and how our technologies are key in addressing the major diseases on this planet, whether it is cancer, cardiovascular disease or stroke. We showcased at RSNA that our products and solutions make the difference. The biggest and most visible example is that even the latest photon-counting CTs, number two and number three on the market are also coming from us. We now have already a fleet of products and are addressing the established price points for high-end CT, making a big step in democratizing this technology. But RSNA was not only about photon-counting CT. We expanded our fleet of low helium MRIs with a very attractive 1.5 Tesla system with 70-centimeter bore. Here, we take the opposite direction of making technology available compared with photon-counting CT. We move upwards, starting with a low field system and are now at the 1.5 Tesla with 70 centimeters. And by the end of the decade, all of our products will use this low helium technology. We launched a next-generation PET/MR, which is essential for diagnosing and treating neurodegenerative diseases and also important for prostate cancer and theranostics. We announced the SOMATOM On.site, a small CT that can be put into an ambulance and can be a game changer and lifesaver for stroke patients. With our offerings in digitalization and AI, we are fully integrating all the strength of our imaging businesses, whether it is CT, PET/CT or MRI, to translate findings into the best personalized treatment plans. Let me deep dive into one of our outstanding innovations on the next slide. There is an absolute conviction in the community that photon counting is the future standard for CT. Hence, it is just a question of time when all CT scanners will be photon counting. Why is this the case? Our photon-counting CT is changing clinical practice across disciplines. It revolutionizes the clinical relevance of CT. Here are three examples, three of many. Starting with coronary artery disease. With photon-counting CT, you can now examine the coronary arteries in a noninvasive way and use instant imaging to determine whether there is a stenosis that needs to be treated or whether the patient can be sent home. Photon-counting CT removes the imaging barriers that conventional CT systems have. Conventional CT systems struggle to image correctly patients who have a lot of calcium in their arteries or to scan follow-up patients who already have a stent in the arteries. Photon-counting CT reduces the need for interventional exams by over 50%, and it also reduces the risks associated with invasive diagnostic procedures. Financially, both the reduction of invasive diagnostic procedures and the reduction of associated complications can, according to an academic study, lead to a benefit of up to USD 12 million over a 10-year period with one system only. Example two, pancreatic cancer is one of the most lethal cancers. The difficulty of early detection as well as the expected increase in risk factors such as obesity and diabetes among people over age 50 sets the stage for pancreatic cancer to be the second leading cause of cancer-related death in the United States by 2030. Complete surgical resection is the only potentially curative treatment option with a 5-year survival rate of approximately 20%. But only 15% to 20% of patients are suitable for resection, as the majority are initially diagnosed with locally advanced or metastatic disease. Early detection is key to keep surgical resection a viable option for the patient. Thanks to the high resolution of photon-counting CT systems, a more precise surgical preassessment is possible. Smaller lesions can be detected earlier, therefore, offering more therapeutic and surgical options to patients. Now over to the third example related to detection of brain aneurysms. A brain aneurysm is a thin place in an artery in the brain that bulges forward outward. It may burst or rupture, which spills blood into the surrounding tissue. When this happens, it can cause a stroke, brain injury or death. Looking at the statistics of the U.S. population, a brain aneurysm ruptures every 18 minutes. Catching small aneurysms is often a challenge for conventional CT systems. Seeing them with photon-counting CT offers the opportunity to create a patient treatment plan prior to a potential rupture. To summarize, photon-counting CT is changing clinical practice. Technology helps us to see the unseen, but technology also helps to address the workflow challenges of our times. In today's environment of workforce crisis and increasing patient and procedure numbers, efficiency is crucial. This applies to emergency cases as well as routine workflows in hospitals and outpatient settings. Magnetom Flow. 1.5 Tesla is the newest product featuring our virtually helium-free MRI technology. It comes with a radically simplified workflow for both patient and operator. The simplification spans from patient registration to smart positioning of the patient to performing the exam. With our advanced image reconstruction technology, Deep Resolve, it achieves a 2x faster scan speed with 2x better image resolution. And Magnetom Flow makes MRI installations possible in sites where it was previously not possible. The same holds true for our new Mini CT SOMATOM On.site, which weighs significantly less than a regular CT and is dedicated to ambulances triaging the patient while still on the road, thus enabling fast diagnosis to select the right treatment. Special ambulances with built-in CT scanners can be life-saving for stroke patients. And as you know, with stroke, time is brain. To sum it up, our key innovations have the power to change clinical practice for higher efficiency and better patient outcomes. And that is why we are market leader in interventional neuroradiology and a leading partner in stroke care. Our molecular Imaging business is on a very exciting growth path. One driver is the rapidly developing field of theranostics. Currently, there are treatments for about 25 cancer types in the pipeline of various pharmaceutical companies. How do we benefit from this development? In essence, we have two clear strengths that make us the partner of choice for both hospitals and imaging centers on the one hand and for pharmaceutical developers on the other hand. Firstly, we are the U.S. market leader in manufacturing and distributing radiopharmaceutical tracers. And with the successful closing of the acquisition of the radiopharmaceuticals business from Novartis, we are adding 13 manufacturing sites across Europe and are expanding our global footprint. This allows us to immediately expand the reach and availability of any new PET imaging agent as a partner for the pharmaceutical developers as well as a provider of the radiopharmaceuticals to hospitals and imaging centers to enable necessary PET scans. Secondly, we have the most comprehensive and newest molecular imaging portfolio in the market, ranging from PET/CT to PET/MR to SPECT/CT and a leading software portfolio in addition. The depth and breadth of our portfolio and the unique competencies of our global team make us a unique partner for the C level of healthcare providers worldwide. About 200 healthcare systems have entered into value partnerships with us in the past two years -- in the past years. Our backlog of value partnerships keeps on growing to now actually well above the €5 billion mark. This just underlines how strong our offering is. This was also fueled in the first quarter. One of the largest value partnerships in Europe was signed with a volume of approximately €200 million. An even larger deal in Canada was inked, an important deal was concluded in the U.S.A., involving about 15 photon-counting CTs. The continued strong order intake from value partnerships and large deals contributed to the excellent equipment book-to-bill of 1.21 in Q1, laying the foundation for continued growth momentum. Let me wrap it up with our outlook. Based on what we know of tariffs so far, we expect to compensate the financial impact on fiscal year '25 of the measures communicated by the new U.S. administration. Hence, we confirm our outlook for fiscal year '25 for 5% to 6% comparable growth and adjusted EPS of €2.35 to €2.50. We share concerns about a potential global trade war and are closely monitoring the situation. Considering recent developments, making any assessment for the future is challenging. While healthcare and the med tech industry are not immune to trade wars though, a functioning healthcare system is typically a high priority for any government. Tariffs and any form of trade barriers have negative impact on healthcare systems, as they limit the flow of knowledge, goods and services, ultimately to the detriment of patients. While we are not immune to a fully-fledged trade war, my assessment would be that our risk level compared to many other sectors is clearly lower. With respect to us, Siemens Healthineers, we have a globally well-spread value-add structure; two of our four segments are headquartered in the United States, and we have more employees there than anywhere else. On that note, I would like to finish and pass the word on to Marc for the Q&A.
Marc Koebernick: Thanks, Bernd. And I would then also pass the word to the operator briefly to instruct you on how to get into the queue for the Q&A.
Operator: [Operator Instructions].
Marc Koebernick: Great. So we have the people lining up and I will start with the first one in the queue. This would be Hassan from Barclays. So Hassan, please go ahead.
Hassan Al-Wakeel: Good morning. Thank you for taking my questions. I'll leave it to two with a small part in the first question. So firstly, CT and Molecular have consistently been key drivers of imaging growth in the last several quarters. Can you talk about the drivers of share gains here? To what extent photon-counting CT, has been a significant contributor on the revenue line, and whether there's any regional differences? And then part two of this question, just in terms of orders, can you talk about the progress you're seeing on the order front on the recently announced lower-priced photon-counting CT in Europe, and whether the FDA timeline for the U.S. remains around in May? And then secondly, just more broadly on order dynamics in Imaging, could you talk about where you're seeing strength by modality and geography? And how China is trending and if you're seeing any improvement there? Thank you.
Bernd Montag: So Hassan, I mean I'll start with the first part of the question, Molecular Imaging and CT. I mean we have - I mean, the growth in Molecular Imaging is attributed to the strength. I also - Jochen and I talked about this, on the one hand, the strength on the scanner side, but then really a significant additional growth momentum coming from PETNET. The growth of PETNET is definitely accretive to Imaging growth. On the CT side, we see good momentum in the last quarters. This is overall competitive strength, but certainly, photon-counting CT helps as a strong contributor on the revenue and margin side. To the point of photon-counting CT in Europe, very, very high interest, and I'm confident also with the approval timeline in the U.S. Overall, when looking at, I mean, the question of modalities, regions, we basically - I don't see big areas to highlight. Because, I mean, with the exception of the continued kind of muted demand in China overall, we see a good development in all modalities, a good trajectory of share gains across the board. So it's basically no special dynamic to highlight. I mean what is, of course, especially nice and you see it in the numbers is the continued good momentum in the United States.
Hassan Al-Wakeel: Okay. Thank you.
Marc Koebernick: Good. So we move on to Julien from Jefferies. Julien, you should be live now.
Julien Dormois: Yes, hi. Good morning, everyone. Thanks for taking my question. I have two. The first one relates to the guidance for Imaging in the second quarter. You have highlighted that you would be expecting more of the lower end of the range of the full year. Just a bit surprised here, because the comps are getting easier. And obviously, you guys have had a very strong book-to-bill and order growth in the past few quarters. So just a bit more color, as to why the conservatism probably on the Q2 trajectory. And my second question relates to Diagnostics. We've heard some of your peers comment about worsening of the trend, because of VBP in China. So could you just remind us of what is your current stance about how things are going to play out in the country? And also what is the influence in terms of sales to the Diagnostics business, please? Thank you.
Jochen Schmitz: Julien, first of all, what we said on the say, guided for Q2 on the lower end was for the company in its totality, where we said around 5%. In Imaging, we said we will stick to our assumption mid-single-digit growth, just to say this. And we - when we had a very strong start in imaging with 8% and we feel well positioned to get to the mid-single-digit growth rate in the second quarter. And we feel well on track for what we achieve so, I think everything on track and nothing to worry about, but nothing else to point out. But I mean as we started with 8%, yes, we just wanted to make clear you should not necessarily expect another 8% quarter in Q2, but more according to the full year assumption we laid out initially. On Diagnostics, in China, VBP when we look at the growth rates in Diagnostics, about 2% in Q1. That is in line with also our assumption for the full fiscal year, low single-digit. The VBP topic in China is a topic, which is clearly there. It is clearly there. The question is, how, will that spread over the next - say, next two years. What we currently see is it is a bit more intense already in this year than it may be initially we thought. But I think we feel very good still about our full year assumption we laid out in November, we're seeing low single-digit growth in Diagnostics, and this is built in. It's - I think that's the current situation. The good thing about the VBP is this will be a base effect. It's not affecting the volumes. It's affecting prices only. And then if we are through with this, we expect to see them a normalization of growth trajectory in China again. Therefore, it's just a time topic, not a fundamental topic in general, okay.
Julien Dormois: Great, thank you.
Marc Koebernick: Thanks Julien So we move over to David Adlington from JPMorgan. David, please go ahead.
David Adlington: Good morning, guys. So first one is just on free cash flow. Obviously, a good start to the year. Just wondered if you could share your thoughts on your full year expectations, and how we might see net debt to EBITDA by the end of the year. And that's really feeding into, as your parents indicated, is considering its position within healthcare. If they do decide to exit healthcare, what implications does that have, if any, for the debt that they held of yours? Thank you.
Jochen Schmitz: Okay. Free cash flow, I think we were very clear. Let me start differently. We are very happy about the start. That was a very good start. It was a good start on the overall pretax, including tax, the tax topic was known, that the positive impact. So good start, very good start. And we have an ambitious plan for our free cash flow this year. Internally, we do not guide necessarily for free cash flow, but we have an ambitious plan. And therefore, this good start gave us a good level of confidence that we will get there. And this should bring then the leverage down into a territory of 2.0x. As I said, we don't guide precisely for it, as you rightfully know, said it also depending on what the EBITDA development will do, and so on and so on. But I expect to be well within 2.0x. And I think this is also what we need to show. On the Siemens position and how that - Siemens stake and how that would influence the situation on debt. So far, the vast majority of the debt is financed via Siemens. And in case Siemens would reduce its stake so that they would lose control, there is, so to say, a grace period over which we have to refinance this over time.
David Adlington: Share the length of that grace?
Jochen Schmitz: When you look at it, everything is at arm's length anyway. And we have already refinanced, a certain aspect of it over the last years at higher interest rates than, they were beforehand. So we need to see what happens and how that comes. I feel very well prepared, to go through that process if it comes, and we will be well prepared for this.
David Adlington: Thank you.
Marc Koebernick: Thanks, David. So next one on the line would be Robert Davies from Morgan Stanley. Robert, the floor is yours.
Robert Davies: Thanks for taking my questions. My first one, if I could just follow-up on your initial comments on the call around China. Just being curious, just in terms of your feedback of what you're hearing on the ground, a couple of the other companies have mentioned the initial sort of stimulus programs that came through last year starting to feed, through a bit more into kind of new equipment orders. I'd just be curious to hear from you what you're hearing from the hospitals and what, if anything, is the kind of final barrier to making that ordering process kind of kick in more aggressively? And then the second one was just around the photon-counting CT technology. Could you give us some color just in terms of your overall aggregate kind of installed base, or where you're seeing the greatest sort of installations by region, type of hospitals that are sort of most actively buying the new machines you had? I know you obviously had a more expensive price point on the initial versions, but just curious as well where you're getting most success on the latest ones you had at RSNA? Thank you.
Jochen Schmitz: Maybe, Robert, on China, I think we built into our outlook a reasonable assumption for this fiscal year. As you know, the assumption, and I reiterated the assumption today, is that we expect a stable, or that we assumed in our outlook is stable, but low level of activity in the market, which then will translate into what we set into a high to mid-single-digit decline in the first half, and a flat development in the second half on the revenue line. And that's what we currently also see more or less on the ground. And we don't see a reason to deviate from this assumption for now and as we have baked that in. And if and when that will change, and we're not speculating, we will be there. We will participate and we will get, to say, our fair share of the potential upside. But so far, so good, no reason to change.
Bernd Montag: On the photon-counting. I mean, in the beginning, the focus of us, but also the people who are focused on this are the early adopters. And early adopters are, in this industry or in this business, on the one hand, the academic medical centers. And with this, I don't mean academic, because it's academic to play with it, but because they want to be at the forefront of research. And they are the ones setting the course, for the rest of the clinical world. This is where the 500 publications come from. And they use the system in a broad-based way. So this is one group of early adopters. The other group of early adopters is private imaging centers who offer "the best imaging in town" and attract patients and referrers and really want to make sure that they stand out in patient care. And the message of best image quality, highest new type of applications, even screening applications combined with lowest dose extremely resonates. So now in the phase we are in now, we see that wherever the systems are installed, they create almost, I'm tempted to say, addiction of the referrers to that type of image quality, whether it's for vascular surgeons, or one of our partners in Semmelweis University in Budapest in Hungary. Who bought the second system, put the first system they had into the emergency room, which is a tough environment to be in. And the system is doing an incredible job, and is changing how early diagnosis are done. And as another example, I highlighted in my list of big deals, a deal in the United States with a big chain of U.S. hospitals who bought 15 of the units of the initial - the highest end units. And why? Because they are changing their cardiovascular program. They use it as a tool exactly as described on the left-hand side of my photon-counting CT slide, as a tool to assess coronary artery disease, and changing clinical practice. So this is now spreading. And the slide I showed on from stroke to cancer to cardiovascular disease. There are enormous - there are amazing pictures also of assessing bone healing. Wherever you look in a CT application, you see the benefits. So basically, it is fair to assume that wherever there is a CT, wherever there is a CT and the systems get into the reach of the budget of people, there will be photon-counting CTs.
Robert Davies: Understood. That's great. Thank you both.
Marc Koebernick: Thanks, Robert. So moving on to Hugo from Exane. So please go ahead, Hugo.
Hugo Solvet: Hi guys. Congrats on the print and thank you for taking my questions. Just two quick clarifications, please. First, on the book-to-bill. Large orders seems to have become the norm. So should we expect volatility in order intake dynamic as a result going forward? And are you confident in continuing to deliver book-to-bill above 1.1 throughout the year? And second, Jochen, on tariff, thank you for the clarification. Just a quick follow-up on - would you expect some businesses to be more impacted by orders from tariff? And if yes, could you give us a bit more details and granularity here? Thank you.
Jochen Schmitz: Hugo, thanks for your two questions. We are extremely happy with our book-to-bill ratio in Q1, yes. And the 1.2 is definitely, I would say, something - maybe we have seen that in the past, but it's still something extraordinary. So it's not that we can expect every quarter 1.2, but it's obviously nice to start in the fiscal year with such a tailwind. And I feel very good about the full fiscal year number, which is clearly above, clearly above one. Will it necessarily be above 1.1? We need to see. Maybe update you with the next quarter. But I would say another year, where we clearly outgrow on the order side, the revenue line, just to say that. On the tariff side, I think we said that also in the past during roadshow initiatives, under the current regime, which potentially whenever it gets really applied, potential new tariffs on Mexico, Canada and China, the effects on Canada and China are really minimal. There is some subassembly in Varian coming from Mexico. And that is also then when there is a bigger impact, so to say, or the biggest impact, therefore, is with Varian, if that comes into play at the current situation. But again, also here, I think manageable from its overall effect.
Hugo Solvet: Thank you very much.
Marc Koebernick: Thanks, Hugo. So moving on to Oli from Kepler. So go ahead Oli, please.
Oliver Reinberg: Oh yes, thanks. Good morning. Two questions from my side, if I may. First question would be on the Imaging margin. I mean it's reassuring to see that margin progress if we are adjusting for the 100 basis points in terms of one-time items. But I guess in Q1 last year, you talked about 200 basis points of margin headwinds for mix. And given like 8% top line growth, I would have hoped for probably even higher drop-through in terms of margin. So any kind of color what was holding back the kind of margin? Any kind of color on mix? And can you just confirm that the upper end of the Imaging margin guide, for the full year is equally likely as the rest of the guidance next year? And secondly, just a follow-up on tariffs. And thanks for the helpful remarks on Mexico and Canada. Can you just add a bit of more color, if we're seeing tariffs also impacting Europe, where would you see the kind of largest exposure? And I think also, is there any kind of risk for value partnerships? I mean these are long-term contracts. I would assume there are certain CPI clause embedded. But if there's kind of higher tariff for a longer period of time, is there any kind of risk in this kind of book of business? Thanks so much.
Jochen Schmitz: I mean on Imaging, I think we had, I would say, coming out of different areas, but a similar mix quality quarter Q1 than last year as expected. That's also why we also guided carefully, because we knew that some of those - most of those periodic topics are in there, and also that the mix coming out of different reasons would be not as perfect, as it can be in Imaging. If you, for example, compare Q4 with Q1, I think the mix was not as good. Therefore, this is similar and fully as expected operationally and also with regard to the one-timers we knew. When we mentioned the one-timers, these are topics, which do happen at some point in time that you have to do, so to say, valuation allowances on certain inventory items, which and it was clear that this happens in this quarter, and this is the biggest topic. From our standpoint, we feel very good about the start in Imaging. And therefore, this answers also, I would say, the second part of your question. The assumption we laid out, which was built, so to say, into our outlook for the overall company, is not endangered for Imaging at all. Sorry, what was the second?
Bernd Montag: Tariffs, where was the exposure, and value partnerships?
Jochen Schmitz: Yes. I think on the - as Bernd mentioned in his, I would say, final remarks on the outlook. I mean obviously, when there is a global trade war and tariffs become, I would say, a new normal, we will be affected and not immune against this. Now you have so many variables in this, how retaliation will work. I'll give you an example. We saw retaliation measures from China. But they excluded, for example, our products, just to say this. So nobody knows how that will look like. Obviously, there is an impact risk if Europe and the U.S. would get into a trade war. This is, I would say, the biggest, so to say, risk. But as Bernd also highlighted, everybody understands this that this will be ultimately to the detriment of patients. Everybody knows this, everybody understands this. And therefore, and based on this, as well as, I would say, our well-spread value-add structure, we feel much less impacted, or affected by such a trade war than a lot of other industries, and maybe also competition, just to say this. On the value partnerships, there, we have, I would say, in the majority of, in particular, the U.S.-based value partnerships, we have certain clauses in which we can trigger. But we also need to see how that all works out. But it's not built into every contract in there.
Oliver Reinberg: Perfect. Thanks so much.
Marc Koebernick: Thank you, Oli. So next one on the line would be Lisa Clive from Bernstein. Lisa, go ahead.
Lisa Clive: Thanks. On VBP in China, and I appreciate that you may not have a lot of detail, but it would just be helpful to get some idea of what's going on there. First, could you just remind us what percent of your IVD business is in China? I think it's about 10%. Second, could you indicate whether that's mainly Clinical Chemistry and Immunoassay, whether Hematology and Hemostasis are big businesses there for you? And thus far, from what you know about VBP, it would just be helpful to understand how many regions are involved, what tests are involved, just whatever you can about the structure of it, because even from the life sciences tools companies that have reported, we're just not getting much detail at all. Second, just an update on Corindus. Clearly, that business looks quite different from when you first purchased it. Just thinking about sort of the long-term trajectory and how we should think about that? Thanks.
Bernd Montag: Lisa, on VBP. I mean, first of all, probably the 10% is right, yes. So the China business or the percentage of China in the Diagnostics revenue, is a little bit below the percentage we have in Siemens Healthineers overall. But for the sake of simplicity, look at 10%. The important businesses for us in China, are Immunoassay and Clinical Chemistry. And the VBP is basically getting implemented step-by-step across all provinces. It's just a question of time. And as Jochen said, this is, so to say, resetting price levels in a one-time process, so to say. And from then on, you will see the growth trajectory again, but on different pricing levels. This is also why when we talk about - when we look at the margin development and the margin improvement on Diagnostics overall, we will see a little bit of a - we will not see the same speed as you have seen in the last quarters. But overall, I hope that explains a little bit how it works. The main topics is Immunoassay, Clinical Chemistry. Typically, I mean, from a margin point of view, the more interesting business is Immunoassay. Typically, Clinical Chemistry is more the topic you need to have in order to be a relevant player in IACC, but the higher-margin business is Immunoassay. On the flip side, I mean, here, coming back to - why we are in this business of neurovascular robotics. We entered into this business with the clear vision and intent in mind, to use this for thrombectomy and meaning with this mainly the treatment of stroke, and other neurovascular disorders. And we were looking at - and this is how we started the discussion with Corindus back then. We wanted - in the beginning, the idea was more to do an R&D partnership, but then it turned out to be better to take over the entire company. We were a little bit more hopeful that the existing established, or kind of established business on the cardiovascular side in PCI will get a bit more traction. But here, the procedure is so well established currently that people don't see the big benefit in using a robot, helping them what is, so to say, anyway easy for them to do for the time being. So we are now in this development phase, of a neurovascular application and a system dedicated, for this type of application in close collaboration also with device companies. You see this from a P&L point of view in the R&D line of the AT business where, to give you a rough feeling, about 20% or so of the R&D on the AT side or Advanced Therapies side, is invested - into this program. And we will see - I mean, don't expect miracles on the revenue side in the short-term, but this is one of the longer-term projects with revenues hopefully, being more significant towards in the three to five-year time frame. Look at it more as one of the topics, similar like photon-counting CT, it takes time. But on the other hand, I cannot imagine that the future of interventions, is training people to do it by hand. And looking for a patient population of 8 billion people, with higher and higher prevalence for vascular diseases. So it is a topic where we want to be at the forefront, but currently look at it more as an R&D project. And please look at photon-counting CT as one of the examples that, we know what we are doing when we are investing in R&D.
Lisa Clive: Okay. If I can squeeze one third question in. Just on your IVD business, clearly, you're making a big push to phase out your installed base, in order now that you have the sort of lower spec Atellica analyzer out there. How is that transition going? And are you retaining most of those customers? It's obviously a tricky situation to phase out products. So I would just love an update there? Thanks.
Bernd Montag: Yes. I mean, maybe first, from a pure financial point of view, when you look at the CLS business, as we call it, the Central Lab Business of the Diagnostics business, which is about two-thirds of the revenue of the Diagnostics segment, or a little bit more, now about 50% of that business is generated by the so-called Atellica franchise, which means the big system, the smaller system. And of course, I mean, the reagent stream coming from this, which is 90% of the revenue typically in this razor blade type business. So it means we are halfway in that migration. We will - roughly, I would say, in three years, we will reach more an area where we are reaching a long tail when it comes to the remaining legacy systems. Atellica is developing extremely nicely. So the Atellica franchise is growing in the high teens at least, and profitability and revenue per box and so on, are all pointing exactly in the right direction. Now to the topic of conversion in more detail. We take a very conscious approach in looking at, which customer to migrate to what system, or whether we want to keep a customer whose position potentially has also changed. Maybe to talk about this a little bit. When we have an analyzer in a more like a, I hope it doesn't sound disrespectful, more in a mom-and-pop shop. And this is a midrange system, a midrange customer. The customer has lost a lot of their revenue - of their revenue to the big consolidators in the market like a Quest or so, to take a U.S. example. Then it's maybe not an economically smart solution to now install an Atellica system. And have also the related costs in supporting the customer and so on and so on. So we take a life cycle view. We look at what is the value of the reagent flow of the individual customer. And then we look at what is the best way to either migrate to Atellica, or to prolong - for a little bit of time on the existing system, until we change to Atellica, or to basically also say, well, maybe this is not a customer we want to keep in the long run. So this is how it works. And this effect of also a little bit of sometimes intended attrition, is also what is holding back the growth rates at face value, because it's the total of legacy versus Atellica. But on the other hand, you see that when you look at the bottom line, that we are obviously making the right decisions also, when it comes to improving profitability.
Lisa Clive: Great. Thanks for that. Very helpful.
Marc Koebernick: Thanks, Lisa. So I mean, we're actually already on the top of the hour of the call, maybe we chip in another five minutes, but that means we won't make it through the whole of the queue. So maybe limit yourselves to one question each as we go. Falko, that next person would be you. one question, please. Thanks Falko.
Falko Friedrichs: Yes, I'll stick to one question. It is on your Molecular Imaging and Radiopharmaceutical business. Can you give us a rough ballpark idea how big this business is as a percent of your Imaging segment? And if you're willing to comment where it very roughly sits in terms of its profitability, compared to the Imaging segment margin? Thank you.
Jochen Schmitz: Falko, I mean you are referring to what we call PETNET as a business. It is about 5% of revenue of Imaging. So it's still a small part of the portfolio. But as Bernd highlighted, it is growing faster than imaging. So it's accretive to the growth. And it's more or less - profitability-wise, it's more or less currently in line with - more or less in line with the margin trajectory, the north of 20% of Imaging.
Falko Friedrichs: Thank you.
Bernd Montag: And if I could just to make sure that, what we call Molecular Imaging is the combination of the equipment service business of PET/CTs and SPECT/CTs and plus the PETNET business, okay? And probably together - this is together. Yes, okay. So look, roughly, if Jochen said the PETNET business is about 5% of the Imaging top line, then the Molecular Imaging-related scanner, and service business is about 10%. So that's what we call Molecular Imaging in total makes up 15%.
Falko Friedrichs: Thank you.
Marc Koebernick: Thanks, Falko. So quickly then would be the last question that goes now to Sezgi. Sezgi, please go ahead with your question.
Sezgi Ozener: Hi, thanks for taking my question. One on the PETNET acquisition, please. Can you give like a rough guideline, of what kind of inorganic growth do you expect from this? And do you also see similar reimbursement tailwinds in Molecular Imaging agents, to the U.S. in Europe, or any like early indicators of those? Or any differences in terms of clinical processes that makes this different from your PETNET business in the U.S.?
Jochen Schmitz: Yes, first of all, I think this is - technically, and I mentioned that in, so to say, in my initial speech, technically, we always do the following in the first year of acquisition that we do not include the growth of the acquired businesses into the comparable growth rates for 12 months, until we have, so to say, a prior year baseline in our books. That's the technical part of it. Then the business is in - it's about, I would say, it's a very low triple-digit million number it's generating. And therefore, most of even at high growth rates, you won't really recognize it too much, so to say, in the overall business, but we are very happy that we have that on the portfolio. And I mean, obviously, the strategy is clear that we want to bring the same radiopharmacy portfolio which we, so to say, manufacture and distribute in our PETNET locations in the United States also to Europe. And we expect similar nice developments in Europe.
Sezgi Ozener: Thanks so much.
Marc Koebernick: Great. Thanks, Sezgi, and that brings us to the end of the call. Obviously, looking forward to hearing you and seeing you, may be on the road virtually, or at conferences in the next few months. We'll be touring, also be in Asia. We'll be in Abu Dhabi at a conference. So if you just look at our calendar, you can find us in many places also in-person. And then, of course, at latest for our Q2 results early May. Looking forward to that. And stay healthy. Bye-bye.
Operator: That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. A recording of this conference call will be available on the Investor Relations section of the Siemens Healthineers website.